Operator: Good afternoon, and welcome to the Fluor Corporation's Fourth Quarter and Year End 2017 Conference Call. Today's call is being recorded. At this time, all participants are in a listen-only mode. A question-and-answer session will follow management's presentation. A replay of today's conference will be available at approximately 8:30 P.M. Eastern Time today, accessible on Fluor's website. The web replay will be available for 30 days. A telephone replay will also be available through 7:30 P.M. Eastern Time on February 27th at the following telephone number, 888-203-1112 and the pass code of 5038292 will be required. At this time, for opening remarks, I'd like to turn the call over to Mr. Geoff Telfer, Senior Vice President of Investor Relations. Please go ahead, Mr. Telfer.
Geoff Telfer: Thank you, Justin, and welcome to Fluor's fourth quarter and year end 2017 conference call. With us today are David Seaton, Fluor's Chairman and Chief Executive Officer; and Bruce Stanski, Fluor's Chief Financial Officer. Our earnings announcement was released this afternoon after market close, and we've posted a slide presentation on our website which we'll reference while making prepared remarks. But before getting started, I'd like to refer you to our Safe Harbor note regarding forward-looking statements, which is summarized on Slide 2. During today's call and slide presentation, we'll be making forward-looking statements, which reflect our current analysis of the existing trends and information. However, there is an inherent risk that actual results could differ materially. You can find a discussion of our risk factors, which could potentially contribute to such differences, in the Company's Form 10-K filed earlier today. During today's call, we may also discuss certain non-GAAP financial measures. Reconciliations of these amounts with the comparable GAAP measures are reflected in our earnings release and posted in the Investor Relations section of our website at investor.fluor.com. Now, let me turn the call over to David Seaton, Fluor's Chairman and CEO. David?
David Seaton: Thanks, Jeff. Good afternoon and thank you to everyone for joining us. I'd like to start off by discussing what we're seeing in the markets that we serve and what we expect to see in 2018. We expect the economic growth to improve in the U.S. and globally this year. Our U.S. clients are optimistic about the recently enacted tax reform and our clients, both domestically and internationally believe improved commodity prices should drop an improvement capital spending. Also as indicated, we're on the front end of a multi-industry upturn and we're closely tracking and well positioned for many major programs and we expect to get a final investment decision in the next 12 months, particularly in the energy chemicals, mining and metals and infrastructure. Our energy and chemicals representing several gas monetization projects including ethylene, derivative facilities and LNG, and it includes the LNG Canada project for Shell which we've recently shortlisted. We also see upstream projects moving forward including pipelines. We expect to build off last year's success in mining metals and we continue to track a number of projects slated for FID in 2018 including copper, gold and iron ore replacement projects. While we don't expect to see the super cycle we saw earlier this decade, we do see a path doubling our mining and backlog from it's current levels. In the infrastructure we're able to start to move forward on the previously awarded Purple Line in Maryland. And one, the Green Line project in Boston in the fourth quarter. Our success continued in 2018 as we were selected with LAX automated people-mover project which we expect to close next quarter. We continue to see transportation programs advance globally and are looking forward to hearing details on the recently announced federal infrastructure funding plans. The plan appears to encourage private investment which I think plays well in our strong track record in developing public-private partnerships. It's been a busy year in our government group as they held the hurricane restoration efforts in parts of the United States and Puerto Rico. In 2018, we will compete for the LOGCAP V contract and are looking at the hand for liquid waste project which is coming up for rebid this year. We also expect diversified service to improve as clients begin to increase their maintenance spend. We believe 2018 marks the start of the upturn we've been waiting for so long and I can tell you that Fluor is ready. We've grown our maintenance, fabrication and construction capabilities, we made improvements to our systems and processes to improve project delivery and we've invested in new data centric execution platform that will use historical standardized data to more accurately analyze and predict project outcomes. And finally, we're increasing our investment in our people through the development programs. Now let's look at our 2017 full year results beginning with Slide 5. 2017 net earnings attributable of Fluor $191 million or $1.36 per diluted share. Excluding the onetime impact of the recent tax reform legislation of $37 million or $0.27 per diluted share, the company reported a net profit of $228 million or $1.63 per diluted share. Consolidated segment profit for the year was $545 million. Revenue for the year was $19.5 billion compared to $19 billion a year ago. New awards for the year were $12.6 billion and ending backlog stood at $31 billion. Now if you turn to Slide 4; the Energy, Chemical and Mining segment booked $1.1 billion in new awards for the quarter including an offshore project in the North Sea, and the backlog for energy, chemicals and mining segment was $17 billion. Results for the year reflected a $44 million forecast adjustment related to estimated cost increases on the downstream project, this project is currently over 90% complete on construction and we expect to achieve mechanical completion in the second quarter. Fourth quarter no awards in industrial, infrastructure and power were $483 million including the Green Line light rail extension project in Massachusetts. Ending backlog was $7.7 billion compared to $15.1 billion a year ago; this decline reflects the removal of the two nuclear projects. Regarding the remaining three gas-fired power plants we're currently executing, one project is substantially complete and in commissioning in start-up activity phases. The remaining two projects are approximately 75% complete and will be completed by year end. One of these projects incurred an additional charge of $41 million in the quarter. Turning to Slide 5; the government group posted four quarter no awards of $1.1 billion and an ending backlog of $3.8 billion compared to $5.2 billion a year ago. New awards for the quarter were driven by task or awards from the U.S. Army Corps of Engineers to restore the power in Puerto Rico. I had a chance to visit our people in Puerto Rico a couple weeks ago, saw firsthand how we're helping restore power on the island. We understand how difficult the last few months have been for so many families, we're humbled by the outpouring of support from the communities in which we work. Since our arrival in October, we've restored power to nearly a 0.25 million customers and we've -- as a side note, we've been active in Puerto Rico since the 1950s and long-term Fluor employees there are some of those that have suffered from this devastating storm. The Diversified Services segment posted fourth quarter no awards of $568 million including projects to support clients and the consumer products, power and the energy industries. Ending backlog was $3.5 billion compared with $2.9 billion a year ago. Now let me turn and turn it over to Bruce. Bruce?
Bruce Stanski: Thanks, David and good afternoon, everyone. We have a lot to review today, so let's get started with our quarterly results. Please turn to Slide 6 of your presentation. Let me begin by highlighting some income statement items and then move to the balance sheet. Revenue for the quarter was $5 billion, up slightly from $4.9 billion last quarter. Revenue improved in the government and diversified services segment to offset the declines in energy and chemicals. Corporate G&A expense for the fourth quarter was $54 million compared to $56 million last year. Earnings for the fourth quarter were $60 million or $0.43 per diluted share, this does however include $37 million or $0.27 per diluted share related to a onetime charge arising from the enactment of the Tax Cuts and Jobs Act in December. The principle amount of this charge was related to Fluor revaluating its deferred tax assets on the balance sheet from the previous federal statutory rate of 35% to the new rate of 21%. Excluding these tax effects earnings would have been $97 million for the quarter or $0.70 per diluted share. In addition to help frame the quarter a bit, it's important to point out that our results include a benefit of other international tax items unrelated to U.S. tax reform which contributed approximately $0.16, the non-recurring hurricane work in the United States and Puerto Rico which produced $0.09, and a $0.32 charge related to both, a gas-fired project and a downstream project. The paint is still very much drying on tax reform and we caution that our tax rate maybe varied by period as we received additional clarification; I'll talk more about outlook for tax on Slide 10. But shifting to the balance sheet on Slide 5; Fluor's cash plus current and non-current marketable securities for the quarter was $2.1 billion; this is unchanged from last quarter and from a year ago. Cash provided by operating activities was $602 million for the year. Also for the full year we paid $118 million in dividends. Moving to Slide 8; Fluor's consolidated backlog at quarter end was just under $31 billion. The percentage of fixed price contracts in our overall backlog was 37% compared to 25% a year ago when we did have two large reimbursable nuclear projects in our backlog. At quarter end, the mix by geography was 42% U.S. and 58% non-U.S. Turning to Slight 9; I want to cover the new revenue recognition standard that went into effect on January 1. Prior to the adoption of this new standard, the Company segmented revenue and margin recognition between the engineering and construction phase of it's contract. Now we will recognize the entire engineering construction contract as a single performance obligation. As you can see on this graph which is for illustration purposes only, what that does is reduce the segment profit variability. Instead of recognizing higher margin engineering first and transitioning to a lower construction margin as we move into the field, now we'll recognize a consistent margin throughout the duration of the project. You'll mainly see the effect this new revenue recognition standard in our ECM and IIMP segments and only on those contracts for engineering as part of the total performance obligation; this is in no way impacts engineering only contracts. You'll see our results reported under this new standard starting in Q1 of 2018. To help our shareholders translate from the old recognition system, we will be providing a reconciliation in each quarter of 2018 showing earnings per diluted share using the new standard compared to EPS under the old standard. Now however this is an incremental positive for earnings in 2018 as some engineering work performed in prior periods will be re-recognized using the modified retrospective method, this method does not change prior periods but simply adjusts opening balances. Overtime the new standard should result in less variability in our recognition of revenue and margin over the term of the contract. Lastly, I want to point out that starting in Q1 of 2018 we've moved our mining business into our industrial, infrastructure and power segment to better align our external reporting with how these business segments will be managed. I'll conclude my remarks today by commenting on our new guidance for 2018 which is on Slide 10. We're establishing a 2018 earnings guidance range of $3.10 to $3.50 per diluted share. The EPS range is inclusive of the new revenue recognition standard and also assumes G&A expenses of approximately $210 million to $22 million excluding any impact of foreign exchange gains or losses. We're also assuming a yearly tax rate of 25% to 30%. New scale expenses are to be approximately $75 million in 2018. Based on our current interpretation and analysis, the benefit of the new revenue recognition standard and tax reform in the U.S. will be approximately $0.75 to $0.95 per diluted share and approximately two-thirds is related to new revenue recognition standard and one-third related to U.S. tax reform. Our guidance reflects an expectation of gradually quarter of the improvement in 2018. You anticipate average full year margins in energy and chemicals groups to be in the 6% to 7% range; industrial, infrastructure and power including mining but excluding new scale to be in the 3.5% to 4.5% range, diversified services to be around 4.5% to 5.5%, and government to be approximately 3% to 4%. So with that operator, we're ready to take questions.
Operator: [Operator Instructions] Our first question today will come from Steven Fisher with UBS.
Steven Fisher: I just wanted to ask about the guidance. The release says that the guidance assumes an increase in oil and gas and mining and infrastructure opportunities; can you just give us a little more clarification on what you assume has to happen from here and when it will happen as they hit that guidance?
Bruce Stanski: Well, we're not going to talk specifically about each project but as we said in the past, we do believe the new awards are backend loaded for the year; so we think that new awards will build as we go through the year, as will our earnings.
Steven Fisher: I mean, if the new awards are backend loaded, I mean how much of an impact do you assume that's going to be for 2018 versus 2019? I guess, I'm getting at -- are that some of these big things that you're just bidding is at embedded in what still has to happen in 2018 or is that more forward-looking?
Bruce Stanski: I think it's a little bit of both, Steve. And I mean, obviously the things that are in front of us, the book are very large projects that are multi-year in terms of their barn [ph]. Most of these projects are at least two years in duration, if not three, and multi-billion dollar kinds of kinds of projects. So the guidance certainly bakes in what we think when the win quarter would be and what that burn would end up being. I know I'm not answering this specifically but I'm not going to give you all the details on which projects.
Steven Fisher: The margin target is certainly helpful; the 6% to 7% for E&C stands out as a little higher than expected. Just wondering how much of that is some of the re-recognition verse that you talked about versus any kind of mix changes versus kind of fixed price? And is that 6% to 7%, would that be considered more normalized or again, is that sort of a onetime step-up because of some of the re-recognition?
David Seaton: The answer is that, I want to put a point on that. As we focus on integrated solutions throughout the last two years and perfected some of those things. We believe that the margin in backlog today and what it will going forward will be better than it's been in previous cycles, so fair amount of that is just an improved execution base in the margin associated with that, so Bruce you can follow-up with that.
Bruce Stanski: Certainly the margins that we're talking about are the margins we're having on our range of earnings guidance, so that's total for the year all-in as we look at quarter-on-quarter what we're making as margins in each of the segments. But maybe I'll take a minute here and get in front of maybe you and others questions about this whole revenue recognition adjustment and we did provide the range of $0.75 to $0.95 and we broke it down how much we believe is rhetoric versus the tax reform. But just to put this in context, revenue recognition change for us impacts about 125 active projects whose quarterly results will vary depending on how the work progresses through each of those projects and the mix of those projects in the quarter, and tax reform has similar challenges as we have to recognize tax from the territorial source of the work including new work and existing work. And also -- and this is where the two are interrelated, that's kind of why we're given a single range is the revenue recognition provides new tax rates that we have to apply to re-recognize revenue on these 125 different projects. So I guess what I'm saying is they are very interrelated we won't know the exact impact of rhetoric [ph] in tax reform until we close each quarter of the year; that's why we're given ranges and estimates that we think are most accurate today. Does that help, Steven?
Steven Fisher: I guess maybe one follow-up; is it fair to ask then if we think about beyond 2018, if you have the same mix of what you have in 2018, would you still come up with the 6% to 7%?
Bruce Stanski: Yes, we would, yes.
Operator: Our next question will come from Jamie Cook with Credit Suisse.
Jamie Cook: First question; not that I'm going to allow you to back out the charge in E&C in the quarter but if you do back that out your implied margins in that segment were about 7% which is higher than I would have thought. So can you talk to whether any onetime gains or mix or anything driving that margin if we back out to $29 million on the petrochemical project? And then, understanding you don't want to give guidance within guidance; can you talk about -- you seem much more constructive this quarter relative to the past two quarters and even last quarter on the opportunities on the E&C business, so can you rank order in terms of award opportunities as we're sitting here 12 months out, is it bigger in E&C or is it bigger in mining in terms of the potential award trajectory? Thank you.
David Seaton: What was the first question?
Jamie Cook: The first question was why were your margins good in the E&C extra charge – extra $29 million that was…
David Seaton: It's the answer I gave to Steven. I think the approaches that we're using on those projects that we've been able to fully implement the new strategy, the integrated solution or providing us with better returns than we've had in previous cycles and I believe that that will continue. So I think part of the question was anything special in there that led that to be that number, the answer is no. So I think that going forward we're doing a much better job of that. Now in the new awards -- and I think I said in prepared remarks the really sizable projects that are in front of us right now are primarily in oil and gas, with mining second; and then I would say infrastructure is following behind that. But as we've talked in the past there is such huge pent-up demand, I was in the Middle East last week over the weekend and just kind of looking through the Gulf, the stated spend over the next five or six years is $500 billion just in the Gulf in the oil and gas sector. I think that's -- you add to that the other industries out there but then you multiply that by the number regions of the world, you can see the opportunity slate has grown dramatically over the last two years. Now we still got to get these customers to get -- pull the trigger on some of the spending and we're very well positioned for our fair share which as you know, I like a bigger fair share to be a fair share. There is a lot of opportunity globally and I really think -- my concern right now is if all the stuff happens at the same time we can end up with another super cycle in oil and gas that we saw in the first part of 2000s and the issues that go with that. But I feel good about the opportunities in front of us that are really good about the positioning that our people have put us into in terms of those projects and I'm even more optimistic given the success of some of the projects that were bid and are operating under that integrated solution. As I said, I was in the Middle East, I was in Kuwait and went above the clean fuels project, as well as the new refinery project and I'm quite happy with what I saw in terms of execution and in terms of our financial position on those projects. We've got to get some spending going, we got to get some customers to actually sign on the dotted line in terms of that FID but I'm pretty optimistic about oil and gas. And then on mining there are some very large projects, I mean I don't think it will be what it was in the last cycle because most of it's replacement capacity as opposed to new capacity. They are not really relying on a growing channel anymore, they're looking at how they maintain market share and that's what's driving those things. And I think there are very few companies in that particular segment that can do these big projects. So we feel pretty good about our positioning on those that we're pursuing, and in both cases, it's all over the globe, there is no one place geography wise that stands out over another.
Operator: And our next question comes from Jerry Revich with Goldman Sachs.
Jerry Revich: David, can you talk about your expectations of the margin profile of the next set of projects, you know, the whole industry has struggled a bit on the last sort of major awards couple of years ago in terms of executing to those projects. And I'm wondering, if you could talk about the competitive landscape as you see it now and what changes should we be looking for in the bid process for hopefully better outcomes?
David Seaton: I think I've always said that it's a dog fight every day and I still believe that, there is no such thing as a good day with competition. I think that in the last cycle you saw some people take some pretty predatory pricing approaches and they're suffering from that. We tried to -- kind of select the projects we felt more comfortable with and the customers we felt more comfortable working with, and even saying that we had our own challenges; and we dealt with those and we learned from those but we've talked about the margin profile going forward in terms of all the industries as Bruce indicated. But I would say we kind of try to stick to our knitting and those projects that make the most sense for us, where we have a competitive advantage, as well as the technical edge. So, as I said, I feel like we're positioned very well on a lot of these projects that are in front of us from methanol projects to LNG projects to refinery projects and petrochemicals; so I feel really good about the team there and what they've been able to do and what's been probably the worst capital approval process I've seen in my career. If you really think about it, there has been close to no spending, I mean obviously there has been spending but not of any consequence in half a decade. And because of that you've got -- you had our competitors being predatory because we enjoy that diversity and we don't have to take some of those projects where many of our competitors are in one industry as an example; so the diversity plays well for us and allows us to maybe take a little bit different tact. But as I've said in my answer to Jamie, I think there's a herd mentality in the industry. And when spending starts, they feel like they've got to make sure they're in the head of the queue for everything from pipes and motor and pumps and alike as opposed to those that are going to be later in the cycle. So I think discipline is something that we're going to continue to play, I think discipline in terms of the elements of the integrated solution that we've invested in, the tools and systems we've invested in in this downturn, as well as the investment in the people we've made I think we're in a really good position. But again, staying true to that discipline and the projects that really fit our needs is going to be things that we're going to focus on.
Jerry Revich: Maybe just a question for Bruce; there was a $300 million to $350 million adjustment to retain earnings, Bruce. Can you talk about was that all related to revenue recognition and can you just give us a rough sense as we think about pro forma margin profile for Fluor over the past couple of years if we were to apply the lens of the new accounting standards -- what sort of adjustment should we be making to margin structure versus reported on '16 and '17 just so we can gauge cycle or recycle performance with the new accounting going forward?
Bruce Stanski: I think you might be referring to the $300 million to $350 million range in our K that we've put out, the impact of revenue recognition. So that range is over three plus year period, so that kind of gives you an idea how it lays out over the time period. As far as very much like what I said in my prepared remarks, was -- this takes out the variability of our revenue and earnings recognition, so the margins that we're quoting on a go-forward basis will be more consistently achieved because we won't have the higher margins on the engineering work then the lower end construction and you and us having to model all that out; so I don't know if that helps you talk about cycle over cycle, that's kind of my answer.
Jerry Revich: So just to clarify the fact that we're making a negative adjustment through retained earnings means margins would be negatively adjusted in prior years of rule to apply the current accounting standards, correct?
Bruce Stanski: Certainly, for the next period that we talked about, it's accretive to earnings, the revenue recognition standard; and it goes beyond this next period. Again, how it falls out, and the time period, and the framing of it; we will know as we close each and every quarter. One of the things from the tax perspective as I said they are interrelated is, unlike a lot of companies that do an estimate of taxes at the beginning of the year and then true up at the end of the year, we actually do a hard close on our taxes every quarter, makes it a little more difficult to model but we think it's more prudent way to get our tax rate right every quarter. So we're going to be seeing as we close these quarterly books exactly where we land on Rev Rec and tax, and so will you when we close the quarter.
Operator: Next will be Tahira Afzal with KeyBanc Capital Markets.
Tahira Afzal : David you talked about a lot of your sectors, you didn't talk that much about power; any thoughts in terms of outlook over there? And then on the LNG side, you mentioned some in Canada but will love to get some color on what you're seeing in the U.S. as well.
David Seaton: On the LNG, I mean obviously there is one we're pursuing in the Gulf Coast. As I've said in previous, I think we're going to see one 1C and 2Cs [ph] over the next couple of years as some of these other ones come online that are nearing completion and the market absorbs that LNG product. But those, you know -- the one in the Gulf and one in Canada, I think we're very well very well positioned for. When you think about power in general, we'll continue to pursue projects -- gas-fire projects and other renewables. We're looking at pursuing nuclear in Saudi Arabia and some other places; so I mean it's one of these things where I go back to my comment just a minute ago about discipline. And in hearing to that integrated solutions approach; so I think that there are some opportunities out there that are on the gas side kind of near-term, say this year. And I think the other stuff is in the out years but we're going to continue to pursue in other things that make sense in the power sector. We do have some good projects in that market as opposed to the four that we've dealt with over the last two years, and we'll continue to push that market as well.
Tahira Afzal : Just as a follow-up; you touched on nuclear bit, some pretty big milestone for new scale, fairly recently any thoughts in terms of update over there, David?
David Seaton: We've had some really good news in terms of the technical review and I believe the NRC is on-target to complete that piece of the review early which just gives us confidence that we're going to finish the whole process I think in record speed. And once we've got that good housekeeping seal of approval, our focus right now and after that is obviously to bring in new investors and to continue to find other customers. We're looking to the DOE and I actually met with some government officials in the UK yesterday and there is great interest in the SMR technology there. So I think that as steady as she goes but I think the fact that the NRC is progressing the way it's progressing shows that new scale really had its act together in terms of where the technology was, what the key issues were going to be and we're very prepared to feel those questions and provide the answers to satisfy the NRC. So all-in-all, I feel pretty positive about that schedule; and with that schedule I feel better about bringing in additional investors.
Operator: And our next question comes from Andy Caplots [ph] with Citi.
Unidentified Analyst: David, customers obviously have been talking more about CapEx, probably because of tax reform or partly because of higher commodity prices. Have you seen and hearing some [indiscernible]? Have you seen the precursors of these projects yet? Was the higher margin in EC&M add along with the quarter because engineering utilization is up?
David Seaton: No, I mean see -- I would say this up, this quarter necessarily we've got a lot of feed work going on in the early stages of projects but now I wouldn't say that's impacting the margin per say but when you look at some of the decisions that are being taken; it's in-line with what our expectations were going to be.
Unidentified Analyst: David, you've obviously seen several cycles now and you kind of alluded to that; how would you compare today's funnel when you add up, call it your high probability energy in mining projects versus the crackers a few years ago on versus the risks of finding cycle in 2000s, is it bigger when you added all together than those cycles or same or maybe smaller?
David Seaton: I think it's bigger, I think it's bigger. Projects are bigger, there is more of them because of the delay. I'm pretty bullish on what that future looks like, there is some really good projects in the funnel right now to use your term. I would say it's bigger than the '05, '06 timeframe.
Unidentified Analyst: That would be pretty good if it develops like that. [Indiscernible].
David Seaton: I tell you, you cannot hand it on tax and I'll address that. I would argue that on the oil and gas cost, tax reform is good but it's not going to drive their decision making. Most of their projects are global in nature and yes, good deal for earnings but I don't think the lion's share of them -- the decisions won't be driven by that. Where I think it's going to really have a benefit is in advanced manufacturing, pharmaceuticals, some of the fine chemical work that we do but because it helps those companies become very competitive, particularly with the U.S. manufacturing base, much more competitive on a global scale and much more comfortable to invest in that uprating or increased capacity or even a new facility, and we're tracking us a lot of those projects in the manufacturing sector. Now they are not multi-billion dollar projects but they are really good projects that are $200 million to $300 million and there is a lot of them; so again, I go back to the comment about diversity. We're going to have the big stuff that you guys like to see and it does drive our business but I think the base load of those small to medium sized projects is growing much more than I anticipated. And I think it's going to bode well for all of our sectors. I think the other piece in my prepared remarks; we think about store in that whole maintenance piece of our business, people stop spending and when they stop spending on certain things like that they start to have failures. And the shutdowns get longer with more work and the frequency of those issues pick up; so I think it bodes well for store and the rest of that diversified services business to again be part of that diversity that raises the water level for the ship here. So, I'm pretty bullish I think on the future; the question is going to be is when? And all indications are, and I'll give you the example; I was worried about the year ended with new awards, it was a low for over many years. We had two big projects that were -- the client said we're going to sanction. That we already have the projects, we're going to sanction in the fourth quarter, and in fact, both of them moved in the second quarter or -- no, one in the second quarter and one in the third quarter of 2018. So again, project makes sense, business model works, we're ready to go; well, let's wait one more quarter to see what else we can do. So again, the frustration here is at what point do we get to start on these projects and there are projects, we haven't lost anything that we've really pursued in terms of those big projects. So I think we're kind of in an interesting place and I think we're well positioned as I've said but timing is going to be the volatility this time as opposed to how we segment our business.
Operator: And next will be Michael Dudas with Vertical Research.
Michael Dudas: David, when you look at today's year-end backlog, how much would you peg as backlog levels been or secured prior to your integrated solutions improved tools and solutions methods, and relative to what's in there today using those, and will those types of opportunities allow the continued improvement in -- axel [ph] margin in backlog and the execution to drive improved margin performance over this upcoming cycle. A firm, relatively meaningful basis if the cycle turns out the way we hope will.
David Seaton: Yes, hard question to answer Michael and the reason is that most of the projects that are in that reimbursable bucket, we care that our customers are embracing the Integrated Solutions approach but as we've talked about, some of them aren't. So you've got a sizeable amount of our backlog that -- it doesn't matter, right, we're going to do what they asked us to do and we're going to make money on it. The fixed price component, clearly the 4 Fluor projects weren't but we're almost done with those and the project in the oil and gas sector was also bid prior to that. So I would say it's a pretty small percentage of the fixed price portion that we're still working off.
Michael Dudas: And as the cycle emerges to the business that traditional customers are just going to hire you and pay for; when do you think they will start to see that there might be tightening in labor, engineering talent, fabrication, yard facility, and in this cycle will a company like Fluor be able to extract more value from that in 2019, 2020, 2021?
David Seaton: I think absolutely, that's why we put together that whole process and we invested in our tools and systems, we invested in our supply chain, fabrication, the construction capability of the company, so we've got that one-stop shopping approach that our customers are looking for; and in the same vein be able to kind of protect our way of executing an earning on those projects. So I think we're going to start to see -- break it down a little bit here, I think we already have pinch points in construction, we've seen in some of these projects that the industry -- not just Fluor but the industries had issues with -- it's almost exclusively because of either lack of talent or lack of people in that construction rank. What we've done globally is look at training and make sure that when those people aren't available to us in a location, we're setting up training programs to make sure we've got the welders, and the pipe fitters, and the electricians, and alike; so I think we're a little bit ahead of the game on that. I know we're marching backwards but I think construction is going to be the first place we see the pinch point because we've already seen it. Couple of years ago what we thought we were going to see before oil prices drop, I was really worried because we had to go to somewhere around 50,000 craft in the U.S. with the work we had but the projection said we needed to double that; I think that would have been an impossible undertaking given the situation at that time. Now again, since then we've spent a lot of time and effort on training people, so I think we feel good about being able to get those folks. On procurement, I think you'll start to see the pinch point in several ways but it's probably not until we get into late 2018 or early 2019. And you're going to see it in two ways; one is, there is going to be a saturation point given the capacities that are out there. And that's the first thing we'll see, it's going to be not how much does it cost but when can I get it which we've seen in the last cycles. Second piece is, is when they become stretched qualities challenge, so we're going to have to make sure that we're in those shops managing that work, and in some cases in this current cycle right now we've got fabrication yards that are providing for us, not the ones we own but we've actually had to go in and take over the management of those yards to make sure we can get the deliveries that we have to have. So quality is going to be the second thing that I think wanes [ph] but we won't see that until late 2019. Again, I go back to what I've said, if FIDs and pulling the trigger happens in the first quarter that would be the timeframe that we would see. On engineering, for us I don't see that it as a big challenge, and that's for two reasons. I still think that we're an employer of choice and the folks that have the big projects, that's where those people want to go to come and work and we've proven time and again that drawing those folks at our locations from an engineering and project management perspective have not been a challenge. Second piece of that is, in that integrated solutions model is the investment tools and systems that we've made and the dispersed execution so that we don't have to take Houston over 4,000 people again. We can leave it around 2,800 and the other offices where they are and moderately increase each of them that are supposed to having those booming bust this industry has typically had in those engineering offices. So, again, we had improved it, the projects in Kuwait [ph], I can tell you're proving that the process but until we get these awards going, we're not going to know whether any of those predictions on engineering, procurement or construction come true.
Operator: And our next question will come from Andy Whitman [ph] with Baird.
Unidentified Analyst: I guess I wanted to ask a little bit about book and burn type business; what a good number or maybe historically how much revenue have you seen from book and burn type business and how does that compare to your expectations for 2018 for that type of business?
Bruce Stanski: We don't provide revenue guidance here and I guess our book and burn -- it certainly was a bit light in the quarter, about 0.66. Certainly we expect that book and burn ratio to pick up as we book larger projects that David just talked about into our portfolio going forward, and a higher burn rate as they move through their life cycles but certainly this was a low quarter for book and bill and book and burn as you call it, and we expect it to increase.
Unidentified Analyst: I guess I'm specifically asking about that types of smaller projects that don't actually hit backlog if they contribute to revenue. Is that material -- is there any changes that's happening to the historical rates of that type of work?
Bruce Stanski: Certainly in our O&M businesses and the big star here in the quarter has been Puerto Rico, we've brought that out a couple of times where we get -- we do quick burns on revenue as it comes in and that -- certainly that does impact our book to burn ratio in a positive way but not in a sustaining way, and it comes and goes as the need arises and the urgency increases for that contingency work that we do; and that also extends into what we do for the army and contingency operations. Stork [ph] is another example of that where they take on a lot of work quickly, certainly at the end of a period or as David said, as assets get distressed and they are forced or our customers are forced to move out quickly and engage store can push a lot of money to have to get their assets back operational. Yes, positive impact but not sustainable.
Unidentified Analyst: As just looking at your K, do you still -- do you have some decent operating losses that potentially could sell-through your cash taxes this year? How do you expect your cash taxes to compare to your GAAP reported taxes? Are you going to realize some of the benefits this year, do you expect to? And how much?
Bruce Stanski: Well, certainly we're sorting through the whole tax profile now and the new tax reform act has a lot of good things. You see the onetime chart we took in the fourth quarter for our deferred tax assets where a good thing of lowering the U.S. tax rates 21% equals the charge in fourth quarters because we had put those deferred tax assets on our balance sheet at 35% tax rate, we had to write it down to 21%. So there are a lot of moving parts like that relative to our tax portfolio and profile that we again -- I keep repeating myself, we'll be understanding better and better as we close each quarters for 2018.
Operator: And our next question will come from Chad Dillard with Deutsche Bank.
Chad Dillard: Just a question for you on Puerto Rico; how far long are you in executing those projects? By my numbers I think you're around 25% of the way down, just trying to think through -- just how the other earnings contribution cadence ramps from $0.09 this past quarter and to the beginning of the year set at stage four?
David Seaton: We're about 80% done, not 25% done. We've got about another month to go with the task order that we were given. I think we're at 82% or 83% complete as of the end of January. So again, as Bruce said, that's quick book to burn because it burns from October through the end of March.
Bruce Stanski: And the task orders we had on that were approximately $1 billion to give you for Puerto Rico.
Chad Dillard: And then could you spend some time talking about your government project pipelines, and more particularly, LOGCAP V and how this opportunity could differ in terms of revenue new contribution size versus LOGCAP IV?
David Seaton: Well, the way they are biding in, obviously you're bidding multiple areas for task order V; so that includes obviously the Afghanistan command, the Africa Command, and alike and we're active in all of those. I think the profile that you see, the U.S. military follow is probably going to be pretty consistent. So I think that that will continue to be a big part of our earnings stream over the long-term. There are several things in the DOE world that we're pursuing, there is some rebids that are going on, as well as some of the base operation contracts that are coming up. So it's a pretty robust slate of projects, but clearly LOGCAP is the big dog on that block.
Operator: And that does conclude the question-and-answer session. I'll now turn the conference back over to the presenters.
David Seaton: Thank you, operator and thank you to all the participants on the call today. As I mentioned earlier and throughout the questions, I'm encouraged by the commentary from our clients regarding their capital spending plans and the overall economic outlook but again I caution the timing of which just because of those decisions. We have prepared for this turnaround and investment and I think our Integrated Solutions approach, our people and our redoubling our commitment to safety has put Fluor in a unique position. I greatly appreciate your support of Fluor, and I wish you a good day.
Operator: Thank you. And that does conclude today's conference call. We do thank you for your participation today.